Operator:
Denise Roche:
Richard Leeds: Good afternoon. Thank you for joining us on today's call. I'm pleased to report that Systemax delivered record sales in both the fourth quarter and full year of 2008. We did very well considering the economic climate, which is the toughest of our generation and deteriorated throughout the quarter, significantly impacting consumer and B2B spending of both IT and industrial products. We delivered these fourth quarter results with a number of macro items that both went against us and in our favor.Let me highlight a few of these. First, we saw the US dollar significantly strengthen against most foreign currencies. This adversely affected both our top line sales as well as our bottom line earnings. We delineated the impact of exchange rate differences on our sales in our press release.
Gilbert Fiorentino: Thanks, Richard and hello, everybody. The Technology Products group once again produced solid results driving sales to record levels. This is a result of our unique strategy that emphasizes finding and delivering value to our customers. Our direct purchasing relationships with Tier 1 consumer electronics manufacturers allows us both better pricing than buying from distributors, but also to obtain special one-off deals for our customers. Our nimble structure enables us to purchase merchandise and get it to our warehouse and retail stores and websites very quickly. These special deals offer our customers great pricing and many times sell out in two or three days.This strategy contributed to fourth quarter net sales growth of 6% in US dollars. Excluding the effect of exchange rate changes, sales would have grown 12%. Revenue growth in the quarter was driven by our North American operations, where sales grew to $540.7 million in the US, up 17.6% over the prior year and up 19.4% excluding exchange rate changes. North America represented 71.4 of our Technology Products total revenue for the fourth quarter. European sales declined about 14.2% in US dollars. However, excluding the effect of the exchange rate changes, the decline was only about 2.1%, which is disappointing to us, but given the poor European economic environment, we performed reasonably well.Operating income for the worldwide Technology Products business in the fourth quarter was $21 million. Gross margin in the fourth quarter was impacted as a result of our decision to aggressively grow market share given the super competitive fourth quarter. We delivered exceptional value to our customers through lower prices and discounted freight. In the long run, this decision to grow our customer base and acquire market share will allow us to prosper again when the economy improves.In our North American TigerDirect business, web traffic was up 19% to 149 million visitors compared to Q4 2007. And during the quarter, there were 1.8 million average weekly unique visitors. Our TigerDirect total store count was 12 with seven stores in the United States and five stores in Canada. Looking at customer satisfaction levels, TigerDirect was recognized recently by three prestigious rankings from Computer Shopper Magazine, American Express and the National Retail Federation and BizRate. TigerDirect is among the top five in Computer Shopper Magazine’s 2009 Shoppers’ Choice Awards for several categories. The company also ranked number 12 in a recent American Express/National Retail Federation survey, which asked, “Which retailer across all formats and all channels consistently provides the best customer service?” In addition, TigerDirect has been honored with a Circle of Excellence award from BizRate for the eighth consecutive quarter, and is now a two-time BizRate Platinum Award Winner.Turning to CompUSA, our total store count was 17, all in the United States and Puerto Rico. We are progressing with our plan to open one more retail store in South Florida in early 2009. Web traffic for the CompUSA website was up 15% compared to the third quarter of 2008 to 12 million visitors during the quarter. There were over 600,000 average weekly unique visitors. We have nearly completed our initiative of moving to one brand retail strategy in the next few months. We expect to have transformed all seven US TigerDirect retail stores from TigerDirect to CompUSA within that time. This will allow us to maximize our marketing initiatives and allow us to differentiate between our two strong brands in the United States. TigerDirect as our primary web commerce and e-Commerce business, and CompUSA primarily as our brick and mortar retail business, of course with the CompUSA.com website to support the retail business. Both in terms of customers we target and in terms of our business model.Other changes are underway in our retail operations. As we briefly discussed last quarter, we are altering the way our brick and mortar customers shop with the launch of Retail 2.0, which combines advantages of online shopping with the ability to see and test products firsthand as well as talk to a salesperson if needed. With Retail 2.0, our stores are fast becoming more than just a venue to make purchases and are now a destination for customers to test products, research and compare prices and make educated buying decisions right there in the store. Every computer, monitor, big screen TV in our converted stores now have online access, providing detailed product information, capabilities and specifications. All the things customers love about seeing on our website, they now can see in our store when they are there in person. Customers can also find out if the product is in stock and find information on recommended accessories, delivery options, and things like that. In addition, all computers offer customers unlimited web access, so that they can visit other sites for price comparisons or even check their e-mail, while they are shopping in our store. We have currently completed the rollout in our Miami-Dadeland and Raleigh-Durham stores, and we estimate nearly all our stores will be completed by the first half of 2009.On a product category basis, we saw larger than average growth from laptops primarily driven by netbooks, hard drives and of course, high-definition televisions. In Europe, while this quarter was certainly challenging, we did see sales pick up in December, and both our UK and Netherlands business saw growth in the fourth quarter on a local currency basis. In this environment, managing costs is imperative. Our SG&A expense declined almost 50 basis points due to strong measures we put in place to cut costs.In summary, we are pleased with the results of our Technology Products group and the many accomplishments that we have received – achieved in 2008, differentiating the computer retail experience through our Retail 2.0 initiative, successfully integrating the CompUSA and gaining customer appraisal and loyalty.
Richard Leeds: Thanks Gilbert. Despite the slowdown in the US industrial and manufacturing sectors, our Industrial Product division, which includes Global Industrial and Nextel Industries, delivered solid results relative to these difficult economic times. In the fourth quarter, the Industrial Products group revenues were down $1.7 million to $54.9 million, and for the full year revenues increased over 5% to $237 million, driven by the addition of 100,000 new customers and 17,000 products to our revamped website.While storage and office furniture remain our core product focus, we have successfully expanded our product lines to now include janitorial, maintenance, lighting, safety and packaging and have started to see traction in these new categories. During the fourth quarter we rolled out an entirely new website, which provides the ability to display an increased number of products in a more user-friendly browsing environment. Our customer base continues to grow, driven predominantly by web customers, which represented approximately 74% of the new buyers in 2008. In addition to new business, we continue to see high levels of customer retention and an increase in levels of satisfaction with our low-priced, top quality product selection.In regard to our Software Solutions business, we took actions to lower operating costs. We reduced headcount by 32%, and consolidated three locations into one. These actions resulted in a one-time charge to earnings during the fourth quarter of $1.7 million. We will continue to rationalize for us and refocus this division throughout 2009, the goal of significantly decreasing losses as we work to launch new customer sites with our ProfitCenter software. Before I turn the call over to Larry Reinhold, who will discuss more detailed financial results for the quarter, I like to congratulate him on his appointment to the Company's Board of Directors. Larry has been a valuable addition to our senior management team, since he joined us two years ago. We look forward to working closely with him on the Board level.
Larry Reinhold: Thank you, Richard. The Company posted record consolidated sales for the fourth quarter of $812.7 million, up 5.6% from the $769.3 million in the fourth quarter of 2007. The fourth quarter of '08 included 14 weeks versus 13 weeks in 2007. Average sales per calendar day during the quarter were $8.3 million compared to about $8.5 million last year. Gross margin in the fourth quarter was 14.4% compared to 15.6% in the fourth quarter of last year. Gross margin declined as a result of competitive pricing pressures we faced in the quarter as well as special freight incentives offered during the peak holiday season to attract new customers. Net income for the quarter was $10 million or $0.27 per diluted share down 58.8% versus the same period last year.As Richard mentioned, during the fourth quarter the Company restructured its software business resulting in a charge to earnings of about $1.7 million. Interest income for the quarter was down due to lower interest rates and lower cash balances, as a result of the cash we used during the year to acquire and build out our CompUSA operation, pay our special dividend and repurchase common shares. Income tax expense in the quarter was about $5.4 million. For the full year, consolidated sales grew over 9%, to $3.0 billion, a record level for the Company. Again, 2008 includes the 53 weeks versus 52 weeks last year. Gross margin was 15.3%, essentially flat compared to 2007. Net income for the year was $52.8 million or $1.41 per diluted share, down about 23.9% versus last year.I would like to take some time to give you some additional details on our two largest business segments. Technology Products net sales were $757.7 million, an increase of 6.3% versus the fourth quarter of 2007, and represented 93.2% of the Company's overall sales revenue. Excluding exchange rate changes, Technology Product sales would have increased 11.8% compared to last year. Operating income in the fourth quarter was $21.1 million. Industrial product sales in the fourth quarter of 2008 were $54.9 million, a decrease of 2.9% over the fourth quarter of last year. Operating income for the quarter was $5.1 million, an increase of 32% over the fourth quarter of last year.Turning to our geographical breakdown, our total North American sales were $595.8 million for all segments in US dollars, an increase of 15.3% from the fourth quarter of last year and represented 73.3% of our total sales for the quarter. Our total European sales were $216.9 million in US dollars, down 14.2% [ph] on a year-over-year basis, and represented 26.7% of our total consolidated sales in the quarter. Again, excluding exchange rate effects, our European sales would have decreased by about 2.1% in the fourth quarter compared to last year.During the fourth quarter, our SG&A expense increased about 6 basis points to 12.4% of revenue versus last year. This increase is mostly attributable to additional employee costs associated with the reopening of the CompUSA stores, related expenses and growth in the business. The Company continues to maintain a strong financial position. During the quarter, we generated $51.1 million in operating cash flow, and we ended the quarter with $282.2 million of inventory. As of December 31, 2008, our balance sheet reflected $250.6 million of working capital and $116 million in cash and cash equivalents. Cash balances for the quarter increased by $42.6 million or 58% versus last quarter and our current ratio at the end of December was 1.7 to 1. Additionally, our $120 million credit facility remains undrawn, and we have over $219 million of cash and available liquidity at the end of the quarter.During the fourth quarter, we purchased about 247,000 shares of the Company's common stock at an average price of $9.67 per share, pursuant to our stock repurchase plan approved by the Board of Directors in May of 2008. For the full year, we repurchased about 475,000 shares for $5.8 million for an average price of $12.25 per share. Our effective tax rate for the full year was 36.9%, up from 30.5% in 2000 due principally to higher taxable income in the UK in 2008, and an unusually low effective tax rate last year from reversing a net operating loss valuation allowance. With that, we'd like to open up the call for questions. Operator?
Operator:
Steven Fisher – Trust Company:
Richard Leeds:
Steven Fisher – Trust Company:
Richard Leeds:
Steven Fisher – Trust Company:
Richard Leeds:
Steven Fisher – Trust Company:
Richard Leeds: Hold on one second.
Larry Reinhold:
Steven Fisher – Trust Company:
Larry Reinhold:
Steven Fisher – Trust Company:
Larry Reinhold:
Richard Leeds:
Steven Fisher – Trust Company:
Operator:
Dorsey Gardner – Kelso Management:
Larry Reinhold:
Dorsey Gardner – Kelso Management:
Larry Reinhold:
Dorsey Gardner – Kelso Management:
Larry Reinhold:
Dorsey Gardner – Kelso Management:
Larry Reinhold:
Dorsey Gardner – Kelso Management:
Larry Reinhold:
Dorsey Gardner – Kelso Management:
Gilbert Fiorentino:
Dorsey Gardner – Kelso Management:
Gilbert Fiorentino: We first installed Retail 2.0 in our Dadeland concept store on October 22, and it is kind of a moving development, because we installed it with certain features and then watched the customers and the salespeople use it live, and have been adding features to it ever since. We installed it in our second store in Raleigh, Durham about a month or month and a half ago. Our third store, the plantation store and the Northlake store, and we have plans to install it in our three Chicago land stores.
Dorsey Gardner – Kelso Management:
Gilbert Fiorentino: It's not just that. It's exciting because we have 10,000 different items in stock in our Naperville warehouse and about 100,000 more items available for our customers through our drop ship partners. We only carry about 3000 different products in each store because number one, that's how many products will fit in the store format that we have, and number two, that's about how many will sell well in a store.
Dorsey Gardner – Kelso Management:
Gilbert Fiorentino:
Dorsey Gardner – Kelso Management:
Gilbert Fiorentino:
Dorsey Gardner – Kelso Management:
Richard Leeds: Well, I mean – this is Richard – we look at all of the different measures in our business. Some of the issues that we have is, are we cannibalizing our web business by opening a store in an area, and to what extent does that affect the profitability of that area. So, we think we have a pretty decent formula for opening these stores. Our worst performing store versus our best performing store obviously has a fair amount of difference in profitability.So, as we open our stores, we look at the worst performing store and say, okay, is that our worst-case scenario for the next store that we open and so on? But we have to make sure that we make our investments prudently, and look at the capital that we put into stores and make sure that we are going to get a good return on investment.
Dorsey Gardner – Kelso Management:
Richard Leeds:
Dorsey Gardner – Kelso Management:
Richard Leeds:
Operator:
Richard Leeds:
Operator: That does conclude today's conference call. Again, we thank you for your participation and you may disconnect at this time.